Operator: Ladies and gentlemen, at this time, I would like to welcome everyone to the Resideo Technologies Second Quarter 2022 Earnings Conference Call. Today's call is being recorded. All participants will be in a listen-only mode until the formal question-and-answer portion of the call.  It is now my pleasure to turn today's call over to Mr. Jason Willey, Vice President of Investor Relations. Mr. Willey, you may now begin.
Jason Willey: Good afternoon, everyone, and thank you for joining us for Resideo's second quarter 2022 earnings call. On today's call will be Jay Geldmacher, Resideo's Chief Executive Officer; and Tony Trunzo, our Chief Financial Officer. A copy of our earnings release and related presentation materials are available on the Investor Relations page of our website at investors.resideo.com. We would like to remind you that this afternoon's presentation contains forward-looking statements. Statements other than historical facts made during the call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in forward-looking statements as a result of a number of factors, including those described from time to time in Resideo's filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. We identify the principal risks and uncertainties that affect our performance in our annual report on Form 10-K and other SEC filings. With that, I will now turning the call over to Jay.
Jay Geldmacher: Thank you, Jason, and good afternoon, everyone. We delivered strong results in Q2 with record revenue at ADI and Products & Solutions and operating profit above the end of our outlook. We continue to execute well through supply chain and inflationary challenges to drive strong organic performance while actively deploying capital to value-creating M&A. We remain focused on delivering for customers and our execution has enabled us to improve our positioning on key distribution and retail accounts and add new OEM business. While the current macro backdrop creates uncertainty around the short-term trajectory for demand, the significant progress we have made over the past two years and the attractive structural trends across our markets, position the business to be resilient throughout the macroeconomic cycle. The housing market remains supply constrained and consumer balance sheets and home equity are healthy relative to past economic cycles. People's views of homes and comfort within it have evolved with hybrid work, a growing focus on energy efficiency and the evolution of smart home technology. Additionally, there is an increased awareness and focus on physical security, both within the home and in commercial markets. We believe these trends, along with ongoing innovation position Resideo for success across macro cycles. In the second quarter, Products & Solutions delivered 28% year-over-year growth with organic growth of 9%. Demand remained healthy driven by air products. We saw a strong price realization across the business, including further price adjustments in April and May for selected parts of the portfolio. There remains a meaningful backlog of repair and renovation activity as contractors continue to work through supply and labor constraints. As a reminder, we believe over 80% of Products & Solutions sales are tied to repair and renovation. Activity in the distribution channel remained strong, also driven by demand for air products, specifically connected thermostats and zoning products. Conversations with key HVAC customers indicate no signs of a pullback in demand and that we have generally remained in a better supply position than competitors. We continue to invest in supporting our distribution partners and professional installers through our active involvement in organizations like the Building Talent Foundation and the rollout of our brand ambassador program. Retail POS data indicates we are outperforming in the thermostat and smoke and CO detection categories. We are benefiting from the breadth of our offering across price points and growing consumer interest in connected and energy management functionality. Within our OEM channel, we saw growth in the quarter but also signs of normalization of order rates after several quarters of historically high demand. Early indications from customers are for a solid heating season, which combined with our backlog, are expected to support our OEM business as we exit 2022 and head into 2023. Our traditional security business continues to face headwinds across several fronts including supply challenges, product transition in Europe and the runoff of 3G radio conversions. Overall, market demand is healthy, and we continue to see good underlying trends in our general market business in North America. Additionally, we have reached an agreement in principle at ADT to amend our current agreement to provide ADT with products through 2023, continuing our relationship as we work on other products together. First Alert had a strong quarter driven by retail demand, pricing actions and operational execution. We are very pleased with how the First Alert and Resideo teams are collaborating and sharing best practices and are enthusiastic about the value creation opportunities that have already been identified. The semiconductor supply chain environment remains dynamic and continues to constrain our sales. The team remains an active daily dialogue with key suppliers. We believe this direct and collaborative engagement with suppliers has enabled us to remind relatively more favorable supply position, allowing us to strengthen our position in key markets. At ADI, revenue grew 5% in the second quarter, driven by North America and growth in key initiatives around e-commerce and private brands. Supply constraints in numerous product categories restrained ADI revenue growth in Q2 and are expected to remain a challenge in the second half. Gross margin performance ADI remains strong. This is being driven by investment in tools and practices to drive pricing efficiency, continued growth in Private Brands business and the positive market pricing environment. Top line and gross margin growth are driving expansion and operating profit pretty margin, even as we continue to invest in the business. At the beginning of July, we announced the acquisition of electronic custom distributors, a leading regional distributor of residential audio, video, automation and telecommunication products. The acquisition adds significant capabilities to ADI's growing audiovisual category. This is the fifth acquisition ADI has completed since 2020. In aggregate, these acquisitions are expected to contribute over $200 million of sales in 2022. With that, I will turn the call over to Tony to discuss our second quarter performance and 2022 outlook in more detail.
Tony Trunzo: Thank you, Jay, and good afternoon, everyone. Our Q2 results reflect another quarter of operational execution as well as our strong market position and continued positive market trends. We delivered solid organic growth and a significant expansion in margin and profitability even as we continue to invest across the business. Second quarter revenue of $1.69 billion was up 14% compared to Q2 last year and up 6% on an organic basis. Foreign exchange movements reduced reported revenue growth by approximately 290 basis points during the quarter. Gross margin for the quarter was 27.7%, an increase of 160 basis points compared to last Q2. Consolidated operating expenses grew by $16 million or 6%, reflecting $22 million from the addition of First Alert as well as continued planned investment in both businesses, all partially offset by lower corporate costs. Operating income of $186 million grew 54% compared to last Q2 and diluted earnings rose 62% to $0.63 per share. Products & Solutions second quarter revenue of $764 million was up 28% and grew 9% on an organic basis. Price realization added approximately $60 million year-over-year, while aggregate unit volumes increased approximately 2%. Foreign exchange was a four percentage point headwind compared to last Q2. First Alert contributed revenue of $113 million and operating income of $7 million in Q2 and was ahead of our plan at acquisition. Q2 operating income at First Alert was reduced by $6 million due to the acquisition-related step-up in inventory valuation. Integration has gone well and we remain on track to exit 2022 at an annual cost synergy run rate of $10 million and to achieve run rate annual cost synergies of $30 million by the end of 2023. Products & Solutions began to reduce delinquent backlog during Q2 as the business continues to successfully manage an ongoing difficult supply chain environment. Second quarter orders were relatively flat year-over-year across product categories, except for security, where we saw an expected decline due to product transitions in Europe and the winding down of 3G radio swaps. Even with the reduction in delinquent backlog in Q2, our overall backlog remains strong relative to historic levels, which helped support our outlook for continued organic growth in the second half of 2022. While we expect a further reduction in delinquent and overall backlog through the rest of the year, we still anticipate exiting the year with backlog well above historic levels. Products & Solutions gross margin in Q2 was 37.3%, down from 39.3% in the second quarter of 2021. While pricing actions have offset inflationary impacts, First Alert results reduced gross margin. Excluding the impact of First Alert, Products & Solutions gross margin was essentially flat compared to last Q2. Products & Solutions operating profit was $154 million or 20.2% of sales compared with $129 million or 21.6% of sales last year. Operating expenses for Products & Solutions were up $25 million year-over-year due to $22 million in First Alert costs as well as planned increases in R&D investment. We continue to closely manage operating costs while ensuring we are investing in key initiatives to drive innovation in our core portfolio and support development efforts around our products and services ecosystems. ADI Q2 revenue of $922 million was up 5% year-over-year despite supply constraints, particularly in the video surveillance category. ADI again saw good activity in categories serving commercial markets, including fire and access control. E-commerce sales were up 29% year-over-year, accounting for 18% of total ADI revenue with touchless revenue sales reaching 36% of revenue. Private brands revenue grew by over 35% in the quarter. The two acquisitions we've completed at ADI since the beginning of the second quarter of 2021 added approximately 170 basis points to revenue growth in the quarter. Foreign exchange reduced revenue growth by approximately 200 basis points compared to the prior year. ADI gross margin in the second quarter was again strong at 20%, up from 17.4% last year, reflecting improved product line margin, increased private brands contribution and the strong pricing environment. ADI Q2 operating margin increased 180 basis points from last year to 9.3%. This increase came even as ADI grew operating expense 13% year-over-year, as we continue to direct investment to support M&A, IT infrastructure and digital and sales enablement tools. Corporate costs for the quarter were $54 million or 3.2% of sales compared with $74 million in the second quarter of 2021. Included in the second quarter 2021 number was $16 million of net costs associated with the legal settlement. Excluding these costs from last year, corporate spending still decreased by approximately 7%. During the quarter, we generated $35 million of cash from operations compared to operating cash generation of $94 million in Q2 2021. 2022 cash from operations reflects higher working capital to support growth and to manage the dynamic supply chain environment. We expect significantly stronger cash flow in the second half. Also at quarter end, approximately 70% of our $1.2 billion of net debt is fixed. And as a result, the impact of higher short-term interest rates on Resideo has been and is expected to remain minimal. Turning to our outlook for the full year 2022 and continue to expect revenue to be in the range of $6.45 billion to $6.65 billion implying year-over-year growth of 12% at the midpoint. Consolidated gross margin is expected to be in the range of 27.5% to 28.5%, and GAAP operating profit is expected to be in the range of $690 million to $720 million. For the third quarter, we expect revenue to be in the range of $1.67 billion to $1.72 billion. Consolidated gross margin is expected to be in the range of 27% to 28% and GAAP operating profit is expected to be in the range of $165 million to $175 million. Our full year outlook includes revenue for First Alert of approximately $340 million and operating profit of approximately $17 million. For the third quarter, we expect First Alert to contribute revenue of approximately $150 million and operating profit of approximately $5 million. As previously indicated, we expect to incur approximately $10 million of First Alert related integration costs during 2022. We also expect intangible amortization costs of approximately $10 million for the full year including the $3 million incurred in Q2. All of these costs are included in the First Alert outlook provided here. Our outlook contemplates a continuation of supply constraints at both Products & Solutions and ADI through the remainder of 2022. The outlook also incorporates a low single-digit year-over-year headwind to reported sales from the stronger U.S. dollar, with minimal net impact to operating income. Additional outlook details can be found on Page 10 of our earnings slides. Before handing the call back to Jay, I wanted to make a few comments on the 2024 financial targets we laid out at our Investor Day in March of 2021. While we do not feel it was practical to provide a full update to 2024 targets, given the fluid macro environment and lack of clarity on when supply chain costs will normalize. We have spent considerable time reviewing the assumptions and progress underlying the model we outlined at the Investor Day. Overall, we've made significant progress across all metrics. Our revenue is tracking ahead of what we outlined but will be further enhanced by the acquisitions completed in the past 16 months. We continue to believe the segment revenue growth rates we outlined are appropriate through a cycle. We're also tracking ahead of plan to the gross and operating margin targets we outlined at ADI. The same is true for our corporate cost targets. At P&S, despite significant underlying progress, the impact of supply chain challenges and inflationary cost pressures have been headwinds to short-term gross margin. Taken as a whole, we are likely trending to the lower end of the corporate margin targets we previously outlined. However, we believe we are tracking to deliver at or above the aggregate level of operating income and operating cash generation implied in the targets. I will now turn the call back to Jay for a few concluding remarks before we take questions.
Jay Geldmacher: Thanks, Tony. Our continued strong financial performance reflects the unmatched relationships we have developed over decades with professional installer customers and attractive structural trends across many of the markets we serve. This is being supported by the operational improvements we have driven across the business over the past two years. The team is excited to be back out on the road engaging directly with customers, suppliers and partners across the globe. The work done over the past two years to build and reestablish relationships with key stakeholders has already paid dividends in our results and will only be enhanced by increased face-to-face engagement. We remain focused on delivering sustained long-term margin improvements across the business and see ample opportunity to achieve these ambitions. At ADI, we see existing progress as sustainable with longer-term opportunity to build upon recent performance. We expect the progress already made at Products & Solutions will become more visible as the supply chain and inflationary environments begin to normalize. As we look to the remainder of 2022, we expect to deliver year-over-year growth in our underlying businesses. Demand remained solid in the key residential and commercial markets we serve. As we work down backlog, this provides additional support for the business over the coming quarters even in a potentially more challenging macro environment. We plan to continue to invest organically in the business and look for attractive opportunities to deploy capital through acquisitions. I want to thank the entire Resideo employee base for their dedication to supporting our customers and a continued focus on execution. This concludes our prepared remarks. Operator, we are now ready for questions.
Operator:  Your first question comes from the line of Amit Daryanani with Evercore ISI. Your line is now open.
Michael Fisher: Hi, this is Michael Fisher on for Amit. Thanks for taking the questions. So to start with, I just want to dig in a little bit into the private label business and maybe just some details on the margin profile you're seeing there, would that be comparable to what you get in the P&S business? And then also are there any specific categories where you're having a lot of success with the private label?
Tony Trunzo: Yes, hi Michael, it's Tony Trunzo. The short answer to your question is yes. The gross margins overall in our private label business at ADI are plus or minus consistent with what we see in the products and services business. We've been selective about the categories that we've entered. Most of them have been in â that we now have some in video but most of them have been in smaller, more sort of ancillary products as opposed to really being in the meat of a lot of the big third-party brand area. And you can see we continue to grow it pretty fast. It's still small percentage of the business overall. But even with those relatively limited excuse in product lines, we've got significant room for growth there. And the margin, as you hinted that, and as I said, the margin profile there is really attractive.
Jay Geldmacher: And I would add also that as part of our ADI's review strategically on where they go with their private label, they've been very disciplined and in terms of where they think is the most critical areas for them to expand. And Tony is correct, about the particular areas that he mentioned, but also they're expanding, let's say, further into datacom. So they are picking some things there, too, that might be applicable in the product private label area. So I think they've done a really nice job in this.
Michael Fisher: Great. Yes. I mean, the results seem to speak for themselves. I was curious, the First Alertâs deal, we got â it's still early days somewhat. I was hoping maybe you guys talked a little bit on the integration whether the deal has kind of gone in line with your expectations. What I'm kind of getting at here is, has the integration of this deal in any way changed your outlook on how aggressive you'll be with M&A and whether or not you can be ready for another sizable deal in the near future?
Jay Geldmacher: Yes. I'll make a couple of comments and let Tony follow up. But knock on wood, we're very pleased with how the integration has gone. And you're right. I mean we â we basically now have one quarter underneath our belt with First Alert, but we've been very pleased with the teams between both the First Alert team and then the Resideo teams in terms of how they've worked together. The collaboration has been superior. And being able to get out and about again, like Tony mentioned in what he said before, not just with customers, but operationally in a way that we couldn't do a year ago. For any â at least from my chair, from any sizable acquisitions, that's super helpful because you're able to get on to the plants and really get into it to understand every â all the opportunities, the opportunities that we identified as part of our own business plan, but also other opportunities, both operationally and commercially. So I think the team is very pleased with the progress and integration team. Everybody always asked, and I think we even made a talked about the last time around, last earnings call, the key is a success for M&A is companies that really have had a lot of experience in integration of acquisitions and the teams that we have in place and the people that we brought in are very versed in this, and that makes a big difference. Tony, anything added comments from your chair?
Tony Trunzo: Yes. I guess, Michael, to your question of kind of what does this mean for potentially other significant deals moving forward. We've intentionally taken a bit of a slow roll toward completion of this integration. And Jay's right, we've got a lot of depth of experience on M&A on the team. But this is our first reasonably significant deal as a team. And we've purposely â the ramp to the synergy number we laid out is it's six to 12 months longer than what I'm used to, frankly. So we've been really careful about making sure that we bring the team along here. But I will say from an execution standpoint, we've also learned a lot, obviously, about First Alert. And they bring some capabilities that we knew about. But they bring some capabilities to the table that we can really lever across the business, around their manufacturing strategy with significant automation, around their experience at retail and how to drive that business. We think that brings significant value. And really just kind of an entrepreneurial spirit being relatively small business with a variety of different owners over the years. They've really got an entrepreneurial approach to business that's pretty exciting. And frankly, a number of their senior leadership are finding their way into pretty senior positions at Resideo as a result of that.
Jay Geldmacher: Yes. And I'd add to that, my experience of doing acquisitions in my career. I think it's super important that at the end of the day that you fully understand the â it's not just the products or the plants you're buying, but the people and their own individual experiences and making sure that â you look at it from the standpoint of two plus two equaling six, that you're leveraging the various strengths of both organizations. And if you do that to the fullest, you really get a maximization out of deals, out of any type of acquisitions. And Tony hit it right on the head in terms of the things that he listed there.
Michael Fisher: Great, thank you for taking my questions, guys.
Jay Geldmacher: You bet.
Operator:  Your next question comes from the line of Paul Dircks with William Blair. Your line is now open.
Paul Dircks: Hi, good afternoon, guys. Nice quarter.
Jay Geldmacher: Hey, Paul, thank you.
Paul Dircks: First question for me is, at ADI, the last four quarters, it's been a very impressive gross margin trajectory, right. We've seen gross margins step up from the low 17s now to hitting about 20%. My question is, while appreciating the fact that there are new tools and processes that have been implemented, and we have seen e-commerce and private label step up, are you getting an outsized benefit from positive price cost? And if so, will we see inventory profits start to roll off here in the back half of the year and into 2023? I'm trying to get a sense of the gross margin erosion we will see just because things have been so good here over the last few quarters.
Tony Trunzo: Sure. Yes. Thanks, Paul. So the short answer is the margin expansion has been a combination of our sort of proactive efforts around all the things that we've talked about as well as, yes, some tailwinds from the inflationary environment. And at some point, we do anticipate that they're going to abate. It's hard to exactly quantify for you, but slight something in the ZIP code of half of that margin expansion has been the result, we think, of the increase in prices and inflation. But the other half has been a result of our efforts. And that half has really accelerated in terms of its progress over time. And we talked about the growth in private brands at double the gross margin, not quite, but pretty close to double the gross margin of the third-party business, that growth trajectory, we think, is going to continue to expand â to help us expand what I'll call the secular margin opportunity. And our objective, we laid out â we talked about 2022 targets a little bit. I mean our objective for 2024 for ADI was gross margins in that 20% range. Our objective over the next few quarters is to achieve enough progress in these other areas that we can control to expect to basically offset anything that we see in terms of a roll-off of inflationary benefit.
Jay Geldmacher: I think Tony really captured that well because as we're talking here on this particular question, ADI's success and execution on their digital expansion, their private label â private brands expansion, they're on a very good trajectory and can help in a big way, manage that as we â when the time comes that we start to see things change on the inflationary front. So I think Tony did a really nice job of explaining that there. And I know the ADI team is very confident in their abilities to do that.
Paul Dircks: No, absolutely. It's encouraging to hear. I appreciate that. Other question I wanted to ask is maybe you could shed some light on the tone of your most recent discussions with the pro channel and then also within retail, just as we get through July and the risk of retail destock over the next year or so, have the tones of your conversation changed? If so, how and perhaps maybe it's by market or by vertical. But can you shed any light on how these conversations with your pros and retailers are trending here early in the third quarter?
Tony Trunzo: I'll start and then Jay will have some comments. So you're right. I mean at some level, the tone is going to vary by the channel. Our execution at retail indicates that we're gaining share. So â and the feedback that we're hearing from our retail partners is that our execution is very strong. I can't â I'm not close enough to be able to comment on what implications there might be for destocking or whether destocking is going to occur. But from an execution standpoint of retail, I think we've done a great job. I think the same is true when you look at the OEM market and the trade market. We're doing all the parts that we can. We're â we're adding OEMs. We think we're adding market share. We're really focused on providing support to the pro. And we talked about Building Talent Foundation. We've created a brand ambassador program to support our professionals â the only place that I can definitively say that we've seen softness is in the water heater market in terms of tone. Everywhere else, I think the tone is steady as she goes. People still see a lot of demand. The HVAC world is still strong. But I think underlying all of that is the point of our execution and the progress that we're making from our own execution and from our own strategy and building share and really positioning ourselves to be a significant and growing part of that market.
Jay Geldmacher: And I would add, when â Tony, just so we're clear when Tony talks about execution, I mean we've been able to provide product to our retail customers. And that's a big, big deal. As you all â as everybody knows on this call, the companies are able to manage better through the supply chain, get materials, build out product are going to benefit by that. And we talked about that as part of our earnings script to all of you today. And I'm very I'm super proud of this team for being able to do that. And we also mentioned in there, this is not just â and I've said this to you guys before through these last 18 months, of this crazy supply chain market. It hasn't just been our supply chain group or procurement group. It's been senior leadership, including Phil, who runs P&S, it's Rob, who runs ADI; myself personally, I've spent a lot of our personal time and calories on that with our lead supply partners. And that's a differentiator out there. I mean I'm going to be â I got the next two weeks, I'm on the road, and I'm with thought on how many different supplies because one of your other natural questions for you or one of the other folks on the line is how do I see the future there in supply chain, everybody is asking for the same crystal ball. And as we indicated earlier, I think you're going to find that the rest of this year is still going to be a grind. And some will get a little bit better in terms of some of our supply base, others are really â it's into the spring of 2023 because of capacity being brought on, in particular in the semiconductor markets. But again, it comes back to who's got the relationships, who's spending the time with them to help make that happen. So we're pleased with the execution on retail front and the comments that Tony mentioned on the pro side is also â it's all the additional time and effort face-to-face interaction with our pros. And you know the extensive nature that we have reach that we have in the pro base that's out there and doing the things that are tied to the different training and what have you, it helps them make it stickier with our relationships and helps build business.
Paul Dircks: Understood. Appreciate the color, thanks guys.
Tony Trunzo: Thanks Paul.
Jay Geldmacher: Thanks Paul.
Operator: There are no further questions at this time. Mr. Willey, I turn the call back over to you.
Jason Willey: I'd like to thank everyone again for your participation today. And as always, if you have any follow-up questions, please donât hesitate to reach out. Thank you. Take care, everyone. Have a good day.
Tony Trunzo: Thanks Everybody.
Jay Geldmacher: Thanks Everybody.
Operator: This concludes today's conference call. You may now disconnect.